Andrzej J. Matyczynski: Second Quarter 2025 Earnings Call. Thank you for joining Reading International's Earnings Call to discuss our 2025 second quarter. My name is Andrzej Matyczynski, and I am Reading's Executive Vice President of Global Operations. With me are Ellen Cotter, our President and Chief Executive Officer; and Gilbert Avanes, our Executive Vice President, Chief Financial Officer and Treasurer. Before we begin the substance of the call, I will run through the usual caveats. In accordance with the safe harbor provision of the Private Securities Litigation Reform Act of 1995, certain matters that will be addressed in this earnings call may constitute forward- looking statements. Such statements are subject to risks, uncertainties and other factors that may cause our actual performance to be materially different from the performance indicated or implied by such statements. Such risk factors are clearly set out in our SEC filings. We undertake no obligation to publicly update or revise any forward-looking statements. In addition, we will discuss non-GAAP financial measures on this call. Reconciliations and definitions of non-GAAP financial measures, which are segment operating income, EBITDA and adjusted EBITDA are included in our recently issued 2025 second quarter earnings release released on August 14 on our company's website. We have adjusted, where applicable, the EBITDA items we believe to be external to our business and not reflective of our cost of doing business or results of operations. Such costs could include legal expenses relating to extraordinary litigation and any other items that we can consider to be nonrecurring in accordance with the 2-year SEC requirement for determining whether an item is nonrecurring, infrequent or unusual in nature. We believe that the adjusted EBITDA is an important supplemental measure of our performance. In today's call, we also use an industry accepted financial measure called Theater Level Cash Flow, TLCF, which is theater level revenue less direct theater level expenses. Average ticket price, ATP, which is calculated by dividing cinema box office revenue by the number of cinema admissions is also used as an accepted industry acronym. We will also use a measure referred to as Food and Beverage Spend Per Patron, F&B SPP, which is a key performance indicator for our cinemas. The F&B SPP is calculated by dividing a cinema's revenues generated by food and beverage sales by the number of admissions at that cinema. Please note that our comments are necessarily summary in nature, and anything we say is qualified by the more detailed disclosure set forth in our Form 10-Q and other filings with the U.S. Securities and Exchange Commission. So with that behind us, I'll turn it over to Ellen, who will review our 2025 second quarter results and discuss our business strategy going forward, followed by Gilbert, who will provide a more detailed financial review. Ellen?
Ellen Marie Cotter: Thanks, Andrzej. Welcome, everyone, to the call today, and thanks for listening in. This past quarter, our teams across Australia, New Zealand and the United States delivered the best second quarter operating income since Q2 2019, with both our global cinema and real estate divisions contributing to the improved results. And advancing our strategic priority to reduce our overall debt balance, during the quarter, we also completed the sale of our Cannon Park assets in Townsville, Australia for AUD 32 million. The proceeds were used to pay off our AUD 20 million NAB bridging facility and reduce our Bank of America debt by AUD 1.5 million. Including these payoffs, we've repaid over $102.5 million of debt since June of 2020, just after the start of the pandemic. The second quarter movie lineup was amazing and generated hits that resonated with a wide range of audiences. A Minecraft Movie, Lilo & Stitch, Mission: Impossible The Final Reckoning, Thunderbolt, Sinners, the live action remake of "How to Train Your Dragon" and Brad Pitt in F1 performed well across our markets with certain movies appealing overwhelmingly to our specific audiences. For instance, our consolidated theater circuit in Hawaii embraced Jason Momoa in Minecraft and Disney's Lilo & Stitch. Our global -- Q2 2025 box office helped us deliver these improved results for the quarter. At $60.4 million, our global total revenues increased 29% versus Q2 '24. At $2.9 million, our global operating income increased 138% from a global operating loss of $7.7 million in Q2 2024. At $6.3 million, our positive EBITDA, which includes a gain on the sale of our Cannon Park real estate assets, increased over 276% from a negative EBITDA of $3.6 million in the second quarter of '24. At $56.8 million, our Q2 2025 global cinema revenue was 32% higher than the Q2 2024 and represented just over 79% of pre- pandemic second quarter 2019 levels, at a time when we operated an additional 62 U.S.-based screens in 8 movie theaters. At $5.5 million, our second quarter '25 global cinema operating income increased 218% over the second quarter of '24 and represented the best global cinema operating income since the second quarter of 2019, which reflects our company's efforts to drive efficiency and a more streamlined operation. At $4.7 million, our second quarter '25 global real estate revenues decreased slightly from $5 million in the same period in '24, which reflects the monetization of our real estate assets. At $1.5 million, our quarter's global real estate operating income increased 56% over last year's second quarter, which was primarily due to the improvements in our U.S.-based live theater business. I'll also note that these results would have been even better had the Australian and New Zealand dollar average exchange rates during the second quarter not weakened against the U.S. dollar by 2.7% and 1.9%, respectively, compared to Q2 2024. Historically, about 50% of our total revenue has been generated internationally in Australia and New Zealand, and this quarter was no different with 47% of our total revenue being generated in Australia and New Zealand. With that, let's take a closer look at our global cinema business. Q2's global cinema revenues and global operating income exceeded our expectations, reinforcing our confidence in the theatrical experience. The quarter started strongly in April of '25. The April '25 releases of a Minecraft Movie and Sinners, both outperformed our expectations and we believe energized moviegoers. These films have captivated diverse audiences across our markets, generating significant cultural milestones. In April of '25, each of our cinema divisions delivered substantially better revenue and theater level cash flow compared to April of '24. Lilo & Stitch was the standout film of May, drawing audiences to theaters and deeply resonating with Disney fans and families alike. Action movies such as Mission: Impossible - The Final Reckoning and Final Destination Bloodlines were also crucial to our success in May of '25. June '25's release of How to Train Your Dragon drew audiences with its strong storytelling and family demographic and F1 provided cinema goers with an exhilarating ride. While July was a strong month, thanks to Superman, Jurassic World: Rebirth and The Fantastic Four: First Steps, we do expect that the third quarter will slow down significantly. However, along with the rest of the industry, we have very high hopes for the fourth quarter when the slate is exciting, diverse and very promising. We believe that families will come together to watch Zootopia 2 from Walt Disney Animation Studios. Audiences will be on the edge of their seats thrilled by the heart-pounding suspense of Five Nights at Freddy's 2, the sequel. Huge franchises will be returning in the form of TRON: Ares and Avatar: Fire and Ash. And the highly anticipated Wicked: For Good is also set to release in the fourth quarter. And looking ahead to next year, we're very excited about the 2026 film slate, including major franchises such as “Spider-Man: Brand New Day, Toy Story 5, The Devil Wears Prada 2, Minions 3, Mega Minions, Shrek 5, Supergirl, Super Mario Bros. 2, Moana, Ice Age 6 and Jumanji 3. That's the lineup. Our global teams will be poised and ready to take advantage of these expected strong box office performers. Now let me highlight a few of the key strategic initiatives and themes our teams have focused on throughout 2025. Starting with our F&B program, which continues to be a main focus. At $8.26, that's in functional currency, our Q2 2025 Australian F&B SPP was the highest second quarter ever. At NZD 7.14, our Q2 2025 New Zealand F&B SPP was our highest quarter ever in our history. At $9.13, our impressive second quarter '25 U.S. F&B SPP was the highest quarter ever when taking into account a fully operational U.S. circuit. This result also exceeded the results of other major publicly traded exhibitors. These F&B milestones are due to improvement in the convenience and functionality of our online and app F&B sales with our transaction sizes consistently improving. The sale of beer, liquor, wine in our theaters, the continued embrace of movie theme menus in all three countries where we offer our guests fun movie- inspired cocktails, food items or desserts and the expanding merchandise trend, where especially in the U.S., we're complementing our guests' movie experience with the opportunity to buy movie theme merch. In the U.S., we generated close to $0.5 million in revenue from movie theme merchandise, which was a nice contributor to our overall F&B SPP. We're also driving guests to our theaters through existing loyalty programs and are working to develop new and improved rewards and membership programs. In Australia and New Zealand, we recently revamped and relaunched our free-to-join Reading Rewards program to provide better perks and savings. Today, we have over 336,000 members. Late in the fourth quarter '24, we launched a paid loyalty program for both our Reading and Angelika brands in Australia. Since launch, we've signed up over 15,000 paid memberships in Australia and New Zealand. In the U.S., we have a free-to-join Angelika membership program with just under 165,000 members for 8 theaters, and we'll launch a premium Angelika monthly membership within the next few months. We have an existing free-to-join rewards program in Hawaii that will be rolled into a new free-to-join program and a paid membership program, which are scheduled to be completed again in the next few months. Soon after, we intend to roll out the same offer at our U.S.-based Reading cinemas. Another major effort for our global executive teams has been to work with our landlords to try and recalibrate our occupancy costs to reflect the economic reality we've been experiencing over the last few years. While in our landlord negotiations requesting occupancy relief, we highlight that while our attendance hasn't returned to pre-pandemic levels, almost all of our operating expenses are up and note the fact that our film rent as a percentage of box office continues to climb and that it can only drive our ticket and F&B prices so high. Turning to the second quarter 2025 results for our U.S. cinemas. Our revenues increased by 41% to $30.3 million compared to the second quarter of 2024. And our operating income improved by 152% to an income of $2.3 million from a loss of $4.4 million in the second quarter of '24. A couple of milestones to mention. Our average ticket price or ATP, of $13.44 marks our highest second quarter figure ever for our U.S. cinema circuit. In mid-April 2025, we closed another money-losing theater, our Reading Cinemas at Town Square in San Diego. The Angelika in New York City, the anchor of our specialty circuit, also enjoyed an improved second quarter. The Angelika's first- of-its-kind cinema takeover by Director Wes Anderson, The Phoenician Scheme, offered moviegoers an exclusive and immersive experience throughout the theater and was the main driver of our cash flow improvement. Along with The Phoenician Scheme, we saw success from specialty films such as A24's Friendship and Watermelon Pictures' The Encampments, which both drove increased revenue and attendance from last year. And as we mentioned last quarter, we expect by the end of '25 to upgrade one of our major cinemas with 10 screens of recliner seats and the addition of a TITAN LUXE premium screen. And now touching on our cinemas in Australia and New Zealand. Following the second quarter 2025 box office industry trends and compared to the second quarter of last year, our Australian cinema revenue increased 24% to $22.9 million. And our operating income increased to $2.9 million from an operating loss of $87,000. Our New Zealand cinema revenue increased 24% to $3.6 million, and our operating income increased 354% to $241,000 from an operating loss of $95,000. In addition to great success in our F&B program, like in the U.S., our Australian and New Zealand cinemas delivered the highest average ticket price of all time at $16.34 in Australia, which is in functional currency and in NZD 14.70. Now let's turn to our global real estate business, which on a segment reporting basis includes not only our third-party rental income, but also our live theater business in New York and our intercompany rents. Let's start with the second quarter 2025 global results. At $4.7 million, our global real estate total revenue decreased 7% from $5 million in the second quarter last year. And at $1.5 million, our total operating income increased 56% and represents the best second quarter since Q2 of 2018 and was 10% higher than Q2 2019's operating income. The results were positively impacted by the cash flow from our U.S. live theater business and also reflected our property asset sales in Townsville, Australia and in Wellington, New Zealand, which has resulted in less rental revenues and income. Breaking it down by division. For the second quarter of this year, our Australian real estate business reported revenue decreases of 14% to $2.7 million and an 8% decrease in operating income of $1.3 million for the second quarter of '25. Our New Zealand real estate revenue of $212,000 decreased by 40% compared to the second quarter of last year, and our New Zealand real estate operating income of $52,000 increased by 117% from a loss of $311,000 in the second quarter of '24. With respect to our Australian and New Zealand portfolio, as of June 30, 2025, due to our property asset sales in Wellington, New Zealand and Townsville, Australia, Cannon Park, the number of our third-party tenants in our combined Australian and New Zealand real estate portfolio reduced to 59 and is now primarily made up of tenants at Newmarket Village in Brisbane and the Belmont Common in Perth. The quality of the remaining tenants is strong, and today, we have an occupancy rate of 99%. For the second quarter, our combined third-party tenant sales from our Australian real estate measured in functional currency was $24.5 million. During the quarter, we successfully executed 15 third-party leases. This was comprised of 5 leases to new and what we believe to be dynamic tenants, 2 new leases with existing tenants, 4 lease renewals, which included a 10-year lease renewal to a key anchor tenant and 4 lease assignments and/or variations. Turning to our U.S. real estate business, which includes our two live theaters in New York City. It delivered a 15% increase in revenue and a 144% increase in operating income from a loss of $204,000 in the second quarter of last year. Our live theater business powered the quarter with improved results. At the Minetta Lane Theatre on a quarter-over-quarter basis, our attendance increased by 201% and the theater level cash flow by 215%, which is largely attributed to two successful shows produced by Audible, the Amazon Company, which is a licensee of our Minetta Lane Theater. Sexual Misconduct of the Middle Classes, The New York Times critic picks starring Hugh Jackman; and Creditors, another critically acclaimed and successful show starring Liev Schreiber, both at the Minetta Lane this past quarter. At the Orpheum Theatre, our goal remains to secure another long-running production similar to Stomp. In the meantime, we're showcasing popular captivating and profitable shows that strongly connect with our East Village audience. Currently, the Orpheum Theatre most recent show, Ginger Twinsies, has received strong praise as an expected to sustain a run through the end of the fourth quarter of '25. We received inquiries from stockholders about the leasing efforts at 44 Union Square. Before I start on our leasing updates, let me first mention a recently issued 2025 Union Square commercial report from the Union Square partnership that highlights some very positive momentum in the Union Square area. First, they mentioned that worker visits to Union Square are surging. Monthly worker visits reached a post-pandemic high of 444,000 in October of 2024, 123% of January 2020 levels. This remarkable rebound in worker foot traffic outpaced the average worker visit recovery of 90% for the Midtown Manhattan businesses in their improvement districts. According to Colliers, overall leasing activity in Midtown South is up with total leasing volume for 2024, reaching 11.61 million square feet, the strongest annual demand since 2019. And storefront occupancy reached 88.5% as of June 2025. So let's turn to our specific leasing updates at 44 Union Square. As we previously reported, we've signed a nonexclusive letter of intent and have exchanged lease drafts with one potential tenant, which would offer a non-office use. However, as we just talked about the leasing -- office leasing market improving in our area, we've experienced increased interest from potential office users and are currently negotiating other letters of intent with potential office tenants with the objective of getting the best deal possible for our space. Turning to another U.S.-based asset, our property in Williamsport, Pennsylvania. It continues to be held for sale. Its highest and best value is as a railroad property, a market in which there are limited qualified players, but we believe also limited asset availability. We're moving to adopt a more aggressive outreach marketing program. So that concludes my report on the most important events over the last few months. In summary, despite facing significant challenges over the last 5 years, the company has remained focused on preserving our global theaters and preserving stockholder equity by closing underperforming venues, reducing expenses and selling select real estate assets to significantly reduce overall debt. At the same time, our cinema teams have implemented strategic initiatives to increase revenue and improve cost efficiency, while our global real estate teams have established a strong base of reliable and dynamic third-party tenants. As interest rates become more favorable in Australia and New Zealand and potentially in the United States later this year, along with a more stable lineup of Hollywood releases, we believe Reading is well positioned for a stronger growth in 2026 and beyond. Now that wraps it up for me. And before I turn it over to Gilbert, Margaret, I would like to express our heartfelt appreciation to the entire management team and all of our employees. Your unwavering dedication, professionalism and tireless efforts have been instrumental in keeping the company moving forward and staying true to its long-term vision. With that, I'll turn it over to Gilbert.
Gilbert Avanes: Thank you, Ellen. Consolidated revenue for the quarter ended June 30, 2025, increased by $13.6 million to $60.4 million when compared to the second quarter of 2024. Consolidated revenue for the 6 months ended June 30, 2025, increased by $8.7 million to $100.5 million when compared to the same period of 2024. These increases are due to stronger movie related released from the Hollywood studios, including higher performing titles such as Minecraft Movie, Sinners, Lilo & Stitch, Mission: Impossible and Thunderbolts, partially offset by a slight decrease in real estate revenue because of the revenues lost from our asset monetization. Net loss attributable to Reading International Inc. for the quarter ended June 30, 2025, decreased by $10.1 million to a loss of $2.7 million compared to a loss of $12.8 million in Q2 2024. Q2 2025 basic loss per share decreased by $0.45 to a basic loss per share of $0.12 compared to the basic loss per share of $0.57 for the Q2 2024. These improved results were primarily due to improved cinema and real estate performance, a $1 million reduction in interest expense and the $1.8 million gain on sale of our Cannon Park Property compared to the same period in prior year. Net loss attributable to Reading International Inc. for the 6 months ended June 30, 2025, decreased by $18.6 million for a loss of $26 million to a loss of $7.4 million when compared to the same period in the prior year. Basic loss per share decreased by $0.83 to a loss of $0.33 compared to a loss of $1.16 for the first 6 months of 2024. These results were primarily due to strengthened segments result, a $1.6 million reduction in interest expense and a $9.5 million increase in gain on sale of assets as a result of gain on selling Courtenay Central and Cannon Park Property in 2025 compared to a loss on selling our previously owned Culver City office in 2024. Net loss decreases from both quarter-to-date and year-to-date are partially offset by increased tax expense and other expenses. The other expenses increase arose from the foreign exchange differences in the [indiscernible] from Australia and New Zealand to the U.S. Our total company depreciation and amortization, impairment and general and administrative expenses for the quarter ended June 30, 2025, decreased by $0.5 million to $8.8 million compared to Q2 2024. For the 6 months ended June 30, 2025, decreased by $1.6 million to $17.3 million compared to the same period in prior year. These decreases were primarily due to decreases in depreciation and amortization as a result of the sale of our Courtenay Central in January 2025 and the sale of our Cannon Property in May of 2025. On July 4, 2025, One Big Beautiful Bill Act was enacted in the United States and includes significant tax law changes, including the permanent extension of certain provisions from The Tax Cuts and Jobs Act modification to the international tax framework and the reinstatement of favorable business tax provisions. These include 100% bonus depreciation, immediate expensing of Section 174 domestic research and experimental expenditures and revised limitation under Section 163(j) on the deductibility of business interest expense. The legislation has multiple effective dates with certain provisions affecting beginning in 2025 and others implemented through 2027. We do not anticipate the impact of this bill to have any material effect on our consolidated financial statement for the year ended December 31, 2025. Income tax expense for the 3 months ended June 30, 2025, increased by $1.4 million compared to the equivalent prior year period. The change between 2025 and 2024 is primarily related to a decrease in consolidated losses and an increase in reserve for valuation allowance in 2025. Income tax expense for the 6 months ended June 30, 2025, increased by $1.1 million compared to the equivalent prior year period. The change between 2025 and 2024 is primarily related to a decrease in consolidated losses and an increase in reserve for valuation allowance in 2025. For the second quarter of 2025, our adjusted EBITDA increased by $9.9 million to an income of $6.3 million from a loss of $3.6 million compared to Q2 2024. For the 6 months ended June 30, 2025, our adjusted EBITDA increased by $16.7 million to an income of $9.2 million compared to the same prior year period. These results were primarily the result of improved operational performance and gains from asset monetization, as mentioned previously. Shifting to cash flows. For the 6 months ended June 30, 2025, net cash used in operating activities decreased by $7 million to $6.2 million compared to the cash used in the 6 months ended June 30, 2024, of $13.2 million. This was primarily driven by a $13.5 million decrease in net operating losses, partially offset by $6.5 million decrease in net payable compared to the same period in 2024. Cash provided by investing activities during the 6 months ended June 30, 2025, increased by $30.4 million to $37.8 million compared to cash provided in the 6 months ended June 30, 2024, of $7.4 million. This was due to higher proceeds from sale of our Cannon Park Property assets in May 2025 and our Wellington property assets in January 2025 compared to the proceeds from sale of our Culver City office in February 2024. Cash used in financing activities for the 6 months ended June 30, 2025, increased by $36 million to $34.9 million compared to cash provided in the 6 months ended June 30, 2024, of $1.1 million. This was primarily due to the paydown of our Westpac debt and NAB bridge facility in 2025 compared to the NAB bridge facility drawn in the same period of 2024. Turning now to our financial position. Our total assets in June 30, 2025, were $438.1 million compared to $471 million in December 31, 2024. This decrease was driven by $3.3 million decrease in cash and cash equivalents from which we funded our ongoing business operations. $1.9 million decrease in receivables, a $31.9 million decrease in land and property held for sale due to the sale of our Cannon Park and Courtenay Central assets. As of June 30, 2025, our total outstanding borrowings were $173.4 million compared to $202.7 million on December 31, 2024. Our cash and cash equivalents as of June 30, 2025, were $9.1 million. Further to address liquidity pressure on our business, we continue to work with our lenders to amend certain debt facilities, and we have our Newbury Yard, Williamsport, Pennsylvania property classified as held for sale. As already mentioned, during the second quarter of 2025, we completed the monetization of our Cannon Park Property in Queensland, Australia for $32 million. The proceeds were used to pay off our NAB bridge facility, permanently paid down AUD 1.5 million on our Australian corporate loan facility and to reduce our Bank of America debt by $1.5 million. As we have -- with other monetized assets, we retained a lease over the cinema. We recorded a $1.8 million gain on the sale. During the second quarter and the beginning of third quarter of 2025, we made progress with our lenders on the following financial arrangements. On May 2, 2025, we extended the maturity date of our Emerald Creek Capital loan to November 6, 2026, with an option to extend further to May 6, 2027. We paid down $500,000 of the loan balance in May 2025. On May 21, 2025, we sold our Cannon Park property asset in Australia and repaid AUD 20 million NAB bridge facility, as mentioned previously. On July 3, 2025, we extended the maturity date of our Bank of America loan to May 18, 2026, and modified the principal repayment schedule. On July 18, 2025, we extended the maturity date of our Santander loan to June 1, 2026. We also paid down $100,000 on the loan at signing. With that, I will now turn it over to Andrzej.
Andrzej J. Matyczynski: Thanks, Gilbert. First, I'd like to thank our stockholders for forwarding questions to our Investor Relations e-mail. As usual, in addition to addressing many of your questions in the prepared remarks from Ellen and Gilbert, we've selected a few additional questions to offer some more insights from management.
Andrzej J. Matyczynski: The first question, which Ellen will address, why was Rotorua land and improvements removed from held for sale in late 2024? In what way did you change your views about the property's long-term prospects? Ellen?
Ellen Marie Cotter: We initially classified Rotorua as an asset held for sale as we believed it could be sold at a reasonable price and could assist in our overall debt reduction strategy. However, this asset, which is located in the regional area of New Zealand and at the time we listed the asset for sale, which was a challenging period for New Zealand commercial real estate, it failed to attract the attention that we would -- that we thought would merit a sale of the asset. So we officially took it off the market. Today, the asset continues to generate reasonable cash flow for us. So we continue to believe in the merit of the property as part of our overall cinema circuit in New Zealand.
Andrzej J. Matyczynski: Thanks, Ellen. The next question, what is NAB's appetite for longer-dated facility given the lower leverage and increased Australian cash flow from cinema segment rebound? Gilbert?
Gilbert Avanes: We are currently working with NAB on a longer-term extension. We've been banking with NAB since 2011. And as an institution, we believe we have a good working relationship with them. They are familiar with our industry and our specific assets and businesses. While we can provide no assurance that the long-term extension will be completed, we're working towards having something in place within the next few months.
Andrzej J. Matyczynski: Thanks, Gilbert. The post -- the property sale, what are the landlord''s seismic upgrade time line commitments and current status versus those commitments? This refers to -- is it Courtenay asset in New Zealand. Has the new owner started seismic work? And when is it expected to be deliverable to Reading for its leasehold improvements? What are Reading's estimated leasehold improvement costs for the upgrades you plan for reopening this cinema? And what are these upgrades and expected duration requirements for Reading's completion once a seismically sound cinema is presented to you? Ellen?
Ellen Marie Cotter: The Primeproperty Group in New Zealand and Wellington is the new owner of the Courtenay Central Building. They're advancing their plans to seismically upgrade the former Courtenay Central building. They're currently working with registered engineers to finalize the seismic design with an anticipated upgrade to be completed sometime in 2026. The cinema renovation is going to be a significant transformation for us. We're upgrading to recliner seating. We're creating premium screen experiences and performing a lobby and F&B upgrades. We'll start the fit-out process immediately following the completion of Prime's upgrade work. And while we don't disclose specific budget figures, the investment in the new or in the renovated Reading Cinema at Courtenay Central will be several million dollars in line with our best-in-class standards. The target for reopening is late '26 or early '27. However, as we don't control the development process and the works, we can't give any assurances that we'll actually meet the schedule.
Andrzej J. Matyczynski: Thanks, Ellen, for that answer. And as usual, we'll finalize the conference call with one final question, which I will field regarding, will there be an Investor Relations Day as promised earlier in the year? While we do not currently have an Investor Relations Day scheduled. However, management is actively evaluating all future Investor Relations opportunities, which include non-deal roadshows, virtual or otherwise, more conference participation as well as a potential Investor Relations meeting. As our COVID recovery and that of our industry continues and the shape of our adapted company becomes more apparent, all the above venues will provide an excellent opportunity to share the future potential growth prospects with both new and existing stakeholders. So that marks the conclusion of this, our second conference call for 2025, a year which continues to see a gradual resurgence of the breadth and depth of the cinematic experience, which we aspire to translate into enhanced value for all our stockholders. We appreciate you listening to the call today. Thank you for your attention and support. We wish everyone good health and safety, and we'll see you at our movie venues.